Operator: Good day, and welcome to the Pacific Premier Bancorp's Second Quarter 2021 Conference Call. . I would now like to turn the conference over to Mr. Steven Gardner, Chairman and CEO. Please go ahead, sir.
Steven Gardner: Thank you, Chuck. Good morning, everyone. I appreciate you joining us today. As you are all aware, earlier this morning, we released our earnings report for the second quarter of 2021. We have also published an updated investor presentation that has additional information on our financial performance.  If you have not done so already, we would encourage you to visit our Investor Relations' website to download a copy of the presentation. In terms of our call today, I will walk through some of the notable items. Ron Nicolas, our CFO, will review a few of the financial details, and then we'll open up the call to questions. 
Ronald Nicolas: Thanks, Steve, and good morning. The majority of my comments will be directed on a linked-quarter basis. Total revenue was $187.7 million for the quarter compared with $185.4 million in the prior quarter, driven by higher noninterest income. Our efficiency ratio for the quarter was 49.4% and our pre-provision net revenue as a percent of assets was 1.84%, highlighting the benefit of our increased operating scale.  During the quarter, we took a number of balance sheet actions, including growing our investment portfolio by approximately $600 million, increasing our BOLI investment by $150 million and redeeming additional high-cost sub debt. I will touch on the benefit of these actions a bit more with my Q3 guidance. Our net interest margin came in at 3.44% for the quarter, and the core margin came in at 3.22%, a decrease of 8 basis points from the prior quarter as lowered loan yields and fees negatively impacted the margin, partially offset by a lower cost of funds.  As noted, we believe the balance sheet actions taken as well as the growth of our loans and deposits in the second quarter will favorably impact net interest income and the margin in Q3. As a result, we see the core NIM in the 3.25% to 3.30% range.  Noninterest income of $26.7 million increased $3 million compared with $23.7 million in the prior quarter. Key drivers of the increase included higher gain on the sale of SBA loans, a result of increasing SBA production as well as higher trust and escrow related fees as the latter saw increased transaction activity. Also, the additional $150 million BOLI investment will add a little more than $1 million per quarter to noninterest income starting in Q3.  Noninterest expense excluding merger-related costs came in at $94.5 million compared with $92.5 million in the prior quarter. Higher incentive costs related to the higher level of loan and deposit production primarily drove the increase in compensation as headcount was flat to the prior quarter at 1,521 employees. Our noninterest expense should approximate $94 million to $96 million in Q3 as we continue to invest in both staff and technology as well as experience higher levels of business activity costs related to growth.  Provision expense was a recapture of $38.5 million compared with an expense of $2 million in the prior quarter. The recapture was driven principally by the improving macroeconomic forecast and key modeling variables as well as our continued strong asset quality profile. 
Steven Gardner: Great. Thanks, Ron. In summary, our teams are executing at a high level, and we are seeing our business development efforts translating into attractive profitable growth. We remain highly confident in the organization's ability to capitalize on any number of economic scenarios that may develop in the second half of this year.  With our strong capital levels, conservative risk profile and earnings strength, we are well positioned to support both organic and acquisitive growth. We continue to seek out acquisitions and merger partners throughout the Western U.S. that can add meaningful earnings accretion and scale to our franchise. Our board and management are open to pursuing transformative transactions that will deliver for all of our shareholders.  That concludes our prepared remarks, and we would be happy to answer any questions. Chuck, please open up the call for questions.
Operator: . And the first question will come from Gary Tenner with D.A. Davidson.
Gary Tenner: I wanted to ask about kind of the outlook for liquidity deployment. You have worked down your cash balance quite a bit in the second quarter through loan growth as well as the incremental investment in the bond portfolio and I guess a little more here in July with the sub debt repayments. So if you could just talk about how you're thinking about any additional need of deploying the excess cash right now into the investment book? Or if you're just going to rely on expectations of loan growth for the back half of the year?
Steven Gardner: I think, Gary, you're going to see us continue to manage it, similar to the way that we have during the second quarter here. Ideally, that excess liquidity goes into loans, but depending upon what we see as net growth there, if we're going to redeploy that liquidity into higher earning assets along with -- which includes, of course, securities.
Gary Tenner: And on that topic then in terms of kind of the net loan growth outlook. Could you talk about any kind of visibility you have at this point on pay down activity or payoff activity early into the third quarter, there's been any kind of slowdown of that kind of activity?
Steven Gardner: We haven't seen any material change from Q2. The line utilization rates have remained relatively stable. We'd certainly like to see increasing growth there. And we're hopeful that, that will occur here as we move through the summer and into the fall. But it just remains to be seen, as I mentioned in my prepared comments, our clients are sitting on a lot of liquidity.
Operator: The next question will come from Matthew Clark with Piper Sandler.
Matthew Clark: Maybe first on the pipeline. I think coming out of last quarter, you had mentioned that it was over $2 billion. Just want to get a sense for where the pipeline stood coming out of 2Q?
Steven Gardner: Yes. Today, we're sitting at a little over $1.7 billion, got down from where we were. But in part, that's owing to the very strong loan closings that the team was able to accomplish in latter part of the second quarter. We still see pretty strong demand in just about all areas. So we're encouraged that we will continue to efficiently pull through the loans that we have in the pipeline and grow net loans going forward.
Matthew Clark: Okay. And then just on the reserve, it sounds like we're going to see some more releases going forward. Your day 1 CECL reserve was 1.05%. Is that -- I guess, how do you feel about that level longer term? Is that kind of where you think you might stabilize as we maybe get into late next year? Or do you feel like you might be able to dip below that based on the balance sheet today relative to the balance sheet at the beginning of 2020...
Steven Gardner: Yes, I think there's a number of factors that play here. And obviously, CECL was designed and has proven to be rather volatile at times. So it's really hard to see where it's going to end up. Also, as the portfolio changes over time, that will be a factor. Certainly, given our historic asset quality or the performance of the loan portfolio, relatively benign charge-offs add in the credit discounts that we have on the book, one would certainly expect it to come down. And as Ron alluded to, that's what we think now, but we'll have to run the models at those at the time in future quarters and see where it ultimately shapes out.
Matthew Clark: Okay. And then on the SBA gain on sale, I think you had planned to start doing some more of that given where how healthy the premiums are. Is that still the case? And how much do you think you might sell on a quarterly basis going forward?
Steven Gardner: Historically, we've sold most of the production that we had done either early in the current quarter or loans that came on in the prior quarter, and that will be our plan. Demand has picked up as the SBA PPP program has wound down. And we like the opportunities we're seeing there. So we'll see where production ends up in the coming quarters.
Matthew Clark: Okay. And then just last one on M&A. Can you just give us some color on how your conversations have tracked relative to the last time we spoke on the earnings call, whether or not that activity has picked up at all or not?
Steven Gardner: Well, hard to say for us because we are so active in general and are regularly reaching out to other CEOs and boards to chat with them about what might make sense. And that's continued in the second quarter, it continues today. We think that in this environment that M&A and consolidation makes as much sense as it ever has. And we're going to continue to pursue it with a number of what we think are very attractive other organizations that we can partner with.
Operator: The next question will come from Jackie Bohlen with KBW.
Jackie Bohlen: Lingering on to Matthew's question, Steve, in the past, you talked about $5 billion as a rough floor for what you take a look at. If you aren't able to announce something if things just don't align in the coming quarters, would you take a look below that level?
Steven Gardner: I think we'd be somewhat hard pressed to do so. But if things didn't come together in the next couple of quarters, we would -- we're always reassessing at the Board level in what we makes -- or what we think makes sense and is right for all of our stakeholders. At this point in time, we think it makes a lot more sense to be pursuing larger transactions, MOE like if you will, and that's where we're going to continue to put our efforts. But as we all know, markets change over time and we'll adjust along the way also.
Jackie Bohlen: Okay. That's helpful. And then I wonder if you could provide an update on how the systems conversion went this quarter with Pacific Premier Trust?
Steven Gardner: We completed the conversion at the end of May. The team is working through that process with a new system and working with clients on the transition to the new systems, and we're progressing well there. It will be nice as we put that aspect behind us and start to move to offense here later in the second half of the year.
Jackie Bohlen: And the bump up in the Trust administrative fees in the quarter, was that related to the conversion? Or was that a separate item?
Steven Gardner: In part related and in some of the small amount of growth we've seen.
Jackie Bohlen: Okay. And this might be a question for next quarter's call. But just it sounds like you're still excited for the opportunities that are there, but maybe not quite ready to give an update on where that line item could grow to. Is that fair?
Steven Gardner: Yes, I don't know that I'm never willing to give much of a guidance on where I think a line item could grow to. That's usually Mr. Nicolas' daily wick. So Ron, I don't know, do you want to venture out there and give us your thoughts?
Ronald Nicolas: I think that's a question for next quarter, Steve. I agree with you, Jackie.
Operator: . Our next question will come from Andrew Terrell with Stephens.
Robert Terrell: So I appreciate the color on the sub-debt redemption post the quarter. It looks like post those kind of 3 tranches, you still have around $330 million or so of sub debt on the balance sheet. Is there any room to redeem more over the next couple of quarters? Or is this kind of about it for the near term?
Steven Gardner: Ron, do you want to?
Ronald Nicolas: Yes, yes. Andrew, on the near term, that's about it. I don't have it exactly in front of me, but I don't think we have another issue that's redeemable yet for a couple of years. So we've pretty much done what we could do on that front, at least in the short run here.
Robert Terrell: Okay. And then, Ron, just to make sure I heard you correctly on the BOLI investment made this past quarter. Is the $1 million of anticipated fee income pickup. Is that on an annual basis or per quarter?
Ronald Nicolas: That will be on a quarterly basis, Andrew.
Steven Gardner: And that will be an interest income, Andrew, not the fee side.
Operator: I show no further questions, and I would like to turn the call back over to management for any closing remarks. Please go ahead.
Steven Gardner: Very good. Thank you all for joining us. We appreciate it. We look forward to talking to you at our next earnings release.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.